Operator: Greetings, and welcome to the Kaiser Aluminum Corporation Third Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kim Orlando with ADDO Investor Relations. Thank you. You may begin.
Kimberly Orlando: Thank you. Hello, everyone, and welcome to Kaiser Aluminum's Third Quarter 2025 Earnings Conference Call. If you have not seen a copy of our earnings release, please visit the Investor Relations page on our website at kaiseraluminum.com. We have also posted a PDF version of the slide presentation for this call. Joining me on the call today are Chairman, President and Chief Executive Officer, Keith Harvey; and Executive Vice President and Chief Financial Officer, Neal West. Before we begin, I'd like to refer you to the first 4 slides of our presentation and remind you that the statements made by management and the information contained in this presentation that constitute forward-looking statements are based on management's current expectations. For a summary of specific risk factors that could cause results to differ materially from the forward-looking statements, please refer to the company's earnings release and reports filed with the Securities and Exchange Commission, including the company's annual report on Form 10-K for the full year ended December 31, 2024. The company undertakes no duty to update any forward-looking statements to conform the statement to actual results or changes in the company's expectations. In addition, we have included non-GAAP financial information in our discussion. Reconciliations to the most comparable GAAP financial measures are included in the earnings release and in the appendix of the presentation. Reconciliations of certain forward-looking non-GAAP financial measures to comparable GAAP financial measures are not provided because certain items required for such reconciliations are outside of our control and/or cannot be reasonably predicted or provided without unreasonable effort. Any reference to EBITDA in our discussion today means adjusted EBITDA, which excludes non-run rate items for which we have provided reconciliations in the appendix. Further, Slide 5 contains definitions of terms and measures that will be commonly used throughout today's presentation. At the conclusion of the company's presentation, we will open the call for questions. I would now like to turn the call over to Keith Harvey. Keith?
Keith Harvey: Thanks, Kim, and good morning, everyone. I'll begin on Slide 7 for our third quarter update. We're pleased to report another strong quarter, marking our fourth consecutive period of performance ahead of our expectations. As a result, we're once again raising our full year EBITDA outlook. During the quarter, we incurred approximately $20 million in start-up costs tied to our two key strategic investments for aerospace and packaging, offset by the impact of metal pricing on inventory, which continued to provide a favorable tailwind. In total, we delivered 23% EBITDA margins in the third quarter and over 20% year-to-date. Now let's turn to the status of our key investments. At our Trentwood rolling mill, the installation of our Phase 7 plate capacity expansion project for aerospace and general engineering applications is nearly complete. It remains on time and on budget. As expected, the 12-week outage impacted our third quarter sales, reducing conversion revenue for aero and general engineering plate collectively by approximately $15 million to $20 million. The investment timing, however, aligns well with the short- and long-term growth expectations from our aerospace and general engineering customers. At our Warrick packaging rolling mill, the fourth coating line is steadily progressing through its qualification phase. September marked our strongest output to date on the new line with momentum continuing into October. We anticipate reaching full run rate in time to support 2026 shipments. Customer feedback has been overwhelmingly positive regarding product quality and performance, fully aligning with the expectations we set when initiating this investment nearly 3 years ago. This project remains central to our strategy of shifting the majority of the mill's output to coated products, a segment where Warrick already holds a market-leading position. As we approach full run rate, increased throughput will begin to satisfy our customers' demand needs and start-up costs will begin to taper off. Turning to our key end markets. Demand remains solid. Aerospace is trending positively, though not yet fully reflected in our results. Packaging supply remains tight with strong demand expected to continue for the foreseeable future. General engineering continues to outperform the traditional 2% CAGR, reflecting solid demand from our customers. However, month-to-month demand has shown an uneven cadence, which has made it challenging to operate with normal efficiencies. Despite this variability, the overall trajectory remains strong. Automotive rebounded meaningfully late summer after a volatile start to the year. I'll touch more on our markets in a moment when we discuss the outlook. With that market backdrop in mind, as we near the end of our major investment cycle, we have a renewed focus on managing our cost, restoring operating efficiencies and regaining our best-in-class operating metrics that have historically defined Kaiser. With that, I'll turn the call over to Neal to walk through the financials. Neal?
Neal West: Thank you, Keith, and good morning, everyone. I'll now turn to Slide 9 for an overview of our shipments and conversion revenue. Conversion revenue for the third quarter was $351 million, a decline of approximately $11 million or 3% compared to the prior year period. Looking at each of our end markets in detail. Aerospace and high-strength conversion revenue totaled $100 million, down $28 million or approximately 22%. This was primarily due to a 30% decline in shipments driven by the planned 12-week partial outage we took at the Trentwood facility to finalize our Phase 7 expansion projects as well as ongoing destocking in commercial aircraft OEM production. We anticipate improved demand conditions ahead as destocking appears to be easing, along with improved shipments as we return to full production following the outage. Demand has remained strong across our other aerospace and high-strength applications, including business jet, defense and space markets. Packaging conversion revenue totaled $138 million, up $9 million or approximately 7% year-over-year on stronger pricing and mix. Shipments for the quarter, while up 2% sequentially, declined 5% over the prior year period, reflecting the mix shift in product deliveries away from bare products as we continue to ramp the new roll coat line and qualify products with customers. As discussed, the underlying demand environment is strong, and we're working closely with our customers as we ramp the new coating line to full run rate levels by year-end 2025. General engineering conversion revenue for the third quarter was $81 million, up $5 million or 6% year-over-year on a 7% increase in shipments. Reshoring activity continues to create a favorable demand backdrop, supporting both volumes and pricing. And finally, automotive conversion revenue of $32 million increased 10% year-over-year on a 5% decrease in shipments, primarily due to tariff-related customer uncertainty affecting the automotive industry. Improved pricing and product mix more than offset the lower shipments. Additional details on conversion revenue and shipments by end market applications can be found in the appendix of this presentation. Now moving to Slide 10. Reported operating income for the third quarter was $49 million, an increase of approximately $36 million from $13 million in the prior year quarter. As a reminder, the third quarter of 2024 included operating non-run rate charges of approximately $4 million, primarily related to an increase in legacy environmental reserves. After adjusting for these charges, our third quarter 2025 adjusted operating income was up $32 million from the prior year quarter, reflecting a $35 million year-over-year improvement in EBITDA, partially offset by a $3 million of higher depreciation expense, primarily associated with the commissioning of our new coating line at Warrick. Our effective tax rate for the third quarter was 17% compared to 21% in the third quarter of 2024. For the full year 2025, we expect our effective tax rate before discrete items to be in the low to mid-20% range, including the impacts related to the new tax bill recently signed into law. Additionally, we anticipate that the 2025 cash tax payments for federal, state and foreign taxes will be in the $5 million to $7 million range. Reported net income for the third quarter was $40 million or $2.38 net income per diluted share compared to net income of $9 million or $0.54 net income per diluted share in the prior year quarter. After adjusting for net pre-tax non-run rate income of approximately $11 million, primarily related to legacy land sales and insurance settlements associated with prior year claims, adjusted net income for the third quarter of 2025 was $31 million or $1.86 adjusted net income per diluted share, and this compares to adjusted net income of $5 million or $0.31 adjusted net income per diluted share in the prior year period, which excludes a net pre-tax non-run rate income of $4 million. Now turning to Slide 11. Adjusted EBITDA for the third quarter was $81 million, up approximately $35 million from the prior year period. Importantly, this result was achieved despite the 8% year-over-year reduction in our shipments. The true momentum in the business earnings power is becoming increasingly clear, driven by the stronger mix of higher value-added products and strong underlying fundamentals across our business and end markets. Additionally, during the quarter, we incurred approximately $20 million of higher operating costs and inefficiencies associated with the Trentwood Phase 7 outage and the ongoing Warrick Roll Coat ramp-up, which we don't expect to continue. These discrete costs were offset by a year-over-year increase in metal lag gains, primarily attributed to the continuing increase in metal price during the quarter. Now turning to a discussion of our balance sheet and cash flow. As of September 30, 2025, we had $577 million in total liquidity, including $17 million in cash and $560 million in availability on the revolver. Importantly, as of the end of the third quarter, our net debt leverage ratio improved to 3.6x from 4.3x at the end of 2024. Earlier this month, we announced the extension of our $575 million revolving credit facility, underscoring the continued strength of our financial position and the confidence our lending partners place in our long-term strategy. The extended facility is set to mature in October 2030, subject to certain conditions. We generated cash flow from operations of $59 million during the third quarter with our capital expenditures totaling $25 million. We expect capital expenditures for the full year 2025 to be approximately $130 million with free cash flow anticipated to be in the range of $30 million to $50 million, reflecting temporary working capital impacts tied to higher metal costs. Importantly, we remain on track to complete our major growth capital projects this year and continue funding our quarterly dividend of $0.77 per share, reinforcing our commitment to returning value to our shareholders. With that, I'll turn the call back over to Keith to discuss our outlook. Keith?
Keith Harvey: Thanks, Neal. We continue to be encouraged by the momentum and visibility we're seeing across our markets. Let me now walk you through our full year outlook by end market on Slide 13. Starting with aero and high strength. Commercial aircraft recovery remained on pace throughout the third quarter with build rates strengthening and the supply chain normalization progressing, providing us with greater confidence of growing demand heading into 2026. As build rates ramp, we expect elevated aluminum inventory levels in the channel to be rapidly absorbed. Demand in defense, space and business jet remains steady at strong levels. Looking ahead, we're confident in our position as a leading global supplier of aluminum products in these end markets. Our capital investments continue to strengthen that leadership and position us well for the long term. As a result of our planned 12-week partial outage for our Phase 7 investment at Trentwood and the resulting lower sales in Q3, we now expect full year aerospace shipments and conversion revenue to be down approximately 10% year-over-year as destocking works through the system and shipments recover in the fourth quarter. Let's move on to packaging. We remain confident in the long-term outlook and the strength of our customer pipeline with the full ramp-up of our coating line on pace for late fourth quarter of 2025. North American demand continues to far outpace available supply, and we expect that dynamic to persist well beyond 2025. Our team is fully focused on accelerating capacity and throughput across our value stream to meet the growing needs of our customers. Due mainly to the previously discussed delay in the start-up of our new roll coat line, we now expect conversion revenue for the year to be up 12% to 15% as the mix shift to higher-margin coated products continues to build. Shipments are still expected to decline approximately 3% to 5% year-over-year as we finalize the ramp of our new roll coating line, ahead of fully benefiting from the mix shift in volumes. We expect a higher output from the new roll coat line in the fourth quarter as we improve line speeds and realize the full capabilities of the line. Turning to general engineering. Our strong momentum from the first half carried into the third quarter with shipments up mid-single digits and solid pricing supporting growth in conversion revenue. Looking ahead, we expect shipments to remain strong for the remainder of the year, driven by a favorable mix shift towards plate products, which will further support conversion revenue growth. We continue to expect full year shipments and conversion revenue to be up approximately 5% to 10% year-over-year. Finally, turning to automotive. Our outlook for the remainder of the year remains stable. Auto production forecast have varied throughout the year, hitting a low point post tariffs in mid-summer before expectations improved into the fall. The resilience of our portfolio and favorable mix toward SUVs and light truck ICE vehicles has kept us steady. As a result, we continue to expect our full year conversion revenue to increase approximately 3% to 5% year-over-year on approximately 5% to 7% lower shipments. Now turning to our summary outlook on Slide 14. Our end market fundamentals remain strong, and our operational execution continues to improve. Based on our year-to-date performance in 2025 and our updated expectations for aero and high strength and packaging, we're updating our full year conversion revenue guidance to be flat to up 5% year-over-year. And raising our full year EBITDA outlook by 10%, now expecting 20% to 25% year-over-year growth over our recasted 2024 EBITDA of $241 million. We remain firmly focused on our long-term objective of achieving mid- to high 20% EBITDA margins. And we see clear tangible progress toward that goal as our investments come fully online and end market demand continues to improve. With that, I will now open the call to any questions you may have. Operator?
Operator: [Operator Instructions] The first question is from Bill Peterson from JPMorgan.
William Peterson: On the aero and high strength, shipments down 30% quarter-on-quarter. It sounds like a lot of that was based off the Trentwood and planned maintenance. But how much -- can you help delineate between the planned maintenance versus weakness, continued weakness you've seen? Based off your revised guidance, it looks like you see more or less a recovery back to first, second quarter levels in 4Q. But I guess with your comments on destocking abating, how should we think about your aero high strength trajectory in 2026? I guess how fast can we see a recovery?
Keith Harvey: Yes. Bill, first, your assessment of what we are looking at in Q4 is right on. You look at the run rate we had in the first half of the year, we expect that to come back very close to those levels. Now we're still finalizing the Phase 7 at Trentwood. So that's going to cut into the fourth quarter a little bit, but I wouldn't expect that to impact shipments any more than 5% or 10% off of the first half. With respect to destocking and where we see in 2026, we're going to be able to give you a much clearer view of that in February of next year. But I will say that as we had anticipated, we're beginning to see these ramp rates continue to increase. And when those build rates up, that expedites the condition and the inventory levels. So I think Boeing and others are on a really good pace moving forward. As you saw, we had another rate increase. And most of these rate increases generally around 5 shipsets ramp increments. And I would expect to see a couple -- 2 or 3 more of those as we go into 2026. So again, it's just expediting the situation we've had. And I think it will be continued improvement. We'll have more detailed information on that in February.
William Peterson: Okay. Yes, fair enough. On packaging, it sounds like you're prioritizing more higher value add. But I guess in terms of your contract negotiations, where do the last, I guess, renegotiations stand. And when these new packaging contracts kick in, how should we think about the magnitude of the pricing uplift as we look into next year?
Keith Harvey: Yes. Well, we're staying pretty firm with our 300 to 400 basis points increase on the EBITDA side of -- the EBITDA margin side of the business here, Bill. We've had great progress throughout the year with regard to putting those contracts in place. I've been very pleased with the progress there. We're down to, quite frankly, one last major customer, long-term customer with Kaiser, and that's really progressed well. I believe that will be finalized before the end of the year and you'll start to see those ramp-ups and the change in the volume. If you go look at our conversion per pound rate that's happened, you'll see some pretty significant growth over the last 4 to 5 quarters. And that's even before we put in the new capacities. So I'm expecting some pretty accelerated rates there. I'll give you some insight where people -- the other question that has been asked of us quite a good bit is will that be fully committed then? Will Warrick be at full total run rate? And I can tell you, no, we're going to actually take the measured approach next year. We're only going to put out about 75% or 80% of that capacity just to make sure that we don't get ourselves in a situation where we're not giving exemplary delivery performance back to our customer base. They've struggled a little bit with the delays we've had this year, but I believe the outcome is going to be really solid. So we're really looking forward to cranking this thing up beginning first of the year.
William Peterson: Maybe just a housekeeping. You talked about the commissioning charge. How much of that was between the roll coat line versus Phase 7? And is there any more that we should expect in the fourth quarter?
Keith Harvey: Well, I would say it's fair to bet. The majority of that was related to the Warrick roll coat 4 start-up, okay? As we've talked in the past, Trentwood's -- even though these start-ups are always difficult, and there's some uncertainty associated with them. For Trentwood, who's done 7 -- 6 of these prior, they managed through this very well. And so very little impact of that cost was part of that $20 million. Now I will say we do expect less cost through the balance of the year. We expect that number to be lower, as I mentioned in my comments, and then to have this well positioned to fully execute in January of next year.
Operator: The next question is from Timna Tanners from Wells Fargo.
Timna Tanners: Keith, nice to catch up. I wanted to hear a little bit more about the impact of tariffs. I feel like that we're getting kind of into that a couple of quarters since they've been announced. And how you -- any pushback on prices with your customers? Any ability to take more share from import or anything else you can elaborate on would be great.
Keith Harvey: Yes. Nice to hear you again. Yes, the tariffs, we remain neutral to slightly positive from our perspective. As you know, all of our facilities are North America based. We do have one extrusion facility in Canada. But the impact to us is, as I said, neutral to slightly positive. And I'll explain the positives, and you mentioned those quite well, quite frankly, in your opening comments there. First of all, what we've seen is a large move on the premiums associated with the LME. And so as we know, the majority, if not all of our business has pretty straight pass-through on those costs. So we enable that, move that through to our customers. We're mindful that, that's gone up significantly and that, that could come down, but we'll see how negotiations progress with USMCA and other things. But on the positive side, what we've done in the marketplace is that it is a little more difficult for imports, and they've come into more about the same type of inability to rapidly lower their prices below us as a result of that premium. And so far, we're seeing better demand for domestic products. And because of the large portfolio of products that we provide to our service centers and other customers in the marketplace, we're seeing good pull on that demand as you can reflect in our general engineering business that throughout the year, which has held up amazingly well, not just from a demand perspective, but also on the pricing front. So we see opportunities. Again, we've got a lot of this capacity. The Trentwood capacity can -- we expect to also help us strengthen on the GE side of the business. And if we get a little bit of tailwind beginning in 2026, I expect really strong demand for GE products, and I expect opportunities for additional price enhancement of our business. So I think we're at the front of the bow wave of this, and we're riding it very well. And I'm very, very pleased with how the operations are performing and meeting this current demand.
Timna Tanners: Okay. I wanted to touch base, particularly on the packaging side. I know you said that was strong, but we're hearing from our colleague who covers the space that there's some concern about cost inflation impacting demand. I wonder if maybe you're shielded from that a bit, given that you're doing more of the ends and tabs or any thoughts on the impact on packaging?
Keith Harvey: Yes. Timna, this -- we're seeing still overall good demand on our products. And I think there some industry incidents can exasperate some of the supply scenario at different times. I know we had our challenges at the beginning of the year. I think others have had some challenges. But overall, I feel the demand for aluminum substrate products and packaging are very strong. I'll remind you that a good portion of our business is food related, and that's held up very strong. And we still continue to see that, quite frankly, outpace the demand for beverage. And so we may be insulated from that somewhat based on the markets that we serve. But overall, we're not seeing anyone reduce or wanting to reduce the capacities that we're contracted for. As a matter of fact, we continue to have customers asking for more. So that's really the basis behind our comments and where we see our business.
Timna Tanners: Okay. That makes sense. Along those same lines, actually, one of your competitors had an outage recently that's caused some attention to the space and where there might be spare capacity. So I don't think you're a player in the auto sheet market, but do you have spare capacity if needed to fill in for can sheet?
Keith Harvey: We're actually fairly full right now, Timna. I mean the -- it's really difficult for me to see when others have challenges because I've lived those before. A lot of times, we're in positions to help our customers. I think our customers have expectations that Kaiser, we want you to hit your commitments to us. And we're beginning to do those very well as our equipment ramps up. Really not in a strong pace to do anything other than that. As you know, a lot of that is probably bare product that's coming into the market. And we've been busy shifting our capacity more to the coated side. So we're really not one of the areas to help on the bare in a very big way.
Timna Tanners: Okay. And I guess I'll just ask one last one, but kind of a big picture. I know you talked about 2025 guidance, and it's appreciated, but we're almost done with the year and looking ahead to 2026, how do we think about the cadence of the ramp-up of some of these -- the new facilities? Is it full run rate Q1 and straight line? Or do we kind of have some gradual improvements even as the year progresses?
Keith Harvey: Yes. It's a great question. We -- look, for purposes of making sure we don't disappoint customers, there's somewhat of a ramp rate that we're going to be putting into our outlooks in the first half of the year. But those are going to be marginal with strong demand, expectations are that all the businesses, all these major growth investments will be behind us. And we're, quite frankly, ready to hit the run at rate buttons as quick as we can. Again, we'll give you more insight as to what we think the cadence of that by probably first half to second half. I think it's fair to say the second half with demand coming with, I think, ramp moving up on aero as packaging continues to show full ramp rate and especially if GE becomes on a little stronger next year, I think you'll see some -- we'll begin to see some of these rates that we had expectations for this business. And I'm going to be very thankful that we've got these growth assets in place to be able to take full advantage of those next year. So I'm pretty excited about next year.
Operator: There are no further questions at this time. I would like to turn the floor back over to Keith Harvey, CEO, for closing comments.
Keith Harvey: Thank you, operator. Thank you for your time and interest in Kaiser. We're excited about our future, and we look forward to sharing our full year 2025 results in February of next year. Have a good rest of your day, and thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.